Operator: Greetings, and welcome to The Simply Good Foods Company Fiscal First Quarter 2025 Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Mark Pogharian, Vice President of Investor Relations for Simply Good Foods Company. Thank you, sir. You may begin.
Mark Pogharian: Thank you, operator. Good morning. I'm pleased to welcome you to The Simply Good Foods Company first quarter year 2025 earnings call. Geoff Tanner, President and CEO; and Shaun Mara, CFO, will provide you with an overview of results, which will then be followed by a Q&A session. The company issued its earnings release this morning at approximately 7:00 a.m. Eastern Time. A copy of the release and accompanying presentation are available under the Investors section of the company's website at www.thesimplygoodfoodscompany.com. This call is being webcast and an archive of today's remarks will also be available. During the course of today's call, management will make forward-looking statements that are subject to various risks and uncertainties that may cause actual results to differ materially. The company undertakes no obligation to update these statements based on subsequent events. A detailed listing of such risks and uncertainties can be found in today's press release and the company's SEC filings. Note that on today's call, we will refer to certain non-GAAP financial measures that we believe will provide us information for investors. Due to the company's asset-light strong cash flow business model, we evaluate our performance on an adjusted basis as it relates to EBITDA and diluted EPS. Please refer to today's press release for a reconciliation of the historical non-GAAP financial measures to the most comparable measures prepared in accordance with GAAP. The acquisition of Only What You Need or OWYN was completed on June 13, 2024. Therefore, the company's year ago performance for the 13 weeks ended November 25, 2023, does not include results from the OWYN business. The reference to organic or legacy Simply Good Foods refers to Simply Good Foods business, excluding OWYN. I'll now turn the call over to Geoff Tanner, President and CEO.
Geoff Tanner: Thank you, Mark. Good morning, and thank you for joining us. Today, I will recap Simply Good Foods' financial results and the performance of our brands. Then Shaun will discuss our financial results in more detail before we wrap it up with a discussion of our fiscal year 2025 outlook and your question. We're pleased with our fiscal first quarter retail takeaway of about 8%. Quest's growth was strong despite some chip stock out early in the quarter and OWYN momentum continued. This was partially offset by expected Atkins declines, although Atkins performance was slightly better than our estimates. Net sales increased 10.6%, driven by the OWYN acquisition. Legacy net sales were affected by the timing of shipments. As Shaun will discuss shortly, we anticipate that legacy shipments and consumption should be more in line by the end of Q2. First quarter gross margin was 38.2% and greater than our forecast. The gross profit growth as well as the inclusion of OWYN resulted in adjusted EBITDA growth of 13.1%. Shaun will provide you with more details related to our financial performance in a bit. Nutritional Snacking category momentum continued in the quarter with growth of about 12% that was largely driven by volume. All major subsegments of the category, bars, shakes and chips increased in Q1. The growth of the category shows the increasing relevance and mainstreaming of Nutritional Snacking products as consumers seek high-protein, low-sugar, low-carb food and beverage options. With 3 uniquely positioned brands aligned against these consumer megatrends and world-class innovation and sales capabilities, we believe Simply Good Foods is well positioned to drive sustained growth and increase shareholder value. We're excited about the prospects for the category and our business, and we are on track to deliver on our objectives. As a result, we reaffirm the fiscal year 2025 outlook discussed last quarter. Moreover, assuming a comparable full year of OWYN results are included in fiscal 2024 as well as the exclusion of the 53rd week in fiscal 2024. Fiscal year 2025 is expected to be in line with the company's long-term algorithm. Specifically, net sales growth in the 4% to 6% range and adjusted EBITDA growth slightly greater than the net sales increased. Let me now turn to Quest. The increased relevance and mainstreaming of consumers seeking high-protein, low-sugar, low-carb foods is a driver of Quest growth. The brand is one of the pioneers of the mainstreaming of this category and has a broad range of products with this nutritional profile. Quest Salty Snacks is a great example as we essentially created a $300 million retail sales business in a short amount of time since the acquisition. Given the size of the total Salty Snacks addressable market, we believe we are still in the early innings of growth for this platform. In addition to our portfolio today, our world-class R&D team has an impressive pipeline of new products that represent a sustained source of growth for years to come. Unlike many large cap food companies, our outsourced co-manufacturing business model provides us with the flexibility to quickly follow the consumer in an efficient way to create new avenues for growth. rather than be constrained by what a specific company-owned asset can produce. In Q1, Quest retail takeaway growth was 10% and was solid across all major channels and customers. While early, we're pleased with our recent innovation that is performing in line with our estimates. This includes new products such as strawberry-frosted cookie and bake shop muffins and brownies. In Q1, Quest's total unmeasured channel retail takeaway increased mid-teens, driven by strong e-commerce growth of about 18%. E-commerce strength was partially offset by softness in specialty channels. Quest snacks and bars retail takeaway in the combined measured and unmeasured channels increased about 19% and 1%, respectively. We continue to be pleased with our salty snacks POS performance, where Q1 growth was 26%. However, as we noted on the last call, coming into the quarter, we were supply constrained and we're starting up a second production line. As we exited Q1 with the second line up and running, we are no longer capacity constrained. And as we enter the new year and new year season, retail inventory is back at optimal level. As evident, retail takeaway for Quest Chips in November and December was about 35%. The strongest growth rates we've achieved since June. We now have the capability to fully support merchandising and programming as well as increased distribution. Quest bar growth of about 1% was relatively in line with expectations. The brand responded well to targeted marketplace investments in the C-store channel, the retail takeaway improved to nearly 4%. Despite this, our bar growth is not what we expect from the leading protein bar brand which is why we are accelerating an exciting new overload by platform. Over the remainder of the year, we expect Quest momentum will continue and anticipate fiscal year 2025 retail takeaway growth of 9% to 10%. Key drivers of growth include continued chips momentum and a calendar Q1 nationwide trial at a large new club customer will assess results upon completion of the test that could potentially lead to an expanded presence. Performance of our new bakeshop item that is proving to be highly incremental to both the brand and the category. The February launch of the Quest overload bar platform. These bars are loaded with inclusion and have a unique texture and mouth feel that will bring variety and excitement to the bar segment. And finally, a full year of the successful it's basically creating advertising campaign. GRPs will increase meaningfully in fiscal 2025, particularly in Q2 supporting the new year, new you season and should drive greater brand awareness and trial. Recall the campaign debuted in mid-March of 2024 and helped drive an almost immediate lift in consumption. Turning to Atkin. Q1 retail takeaway was off 4%, this was slightly better than planned and sequentially improved from the Q4 decline of 5%. Better-than-expected performance was driven by ready-to-drink shakes, where retail takeaway increased about 5% with growth in both measured and unmeasured channels. We're particularly pleased that total brand retail takeaway increased at Atkin's 2 largest customers, which, when combined, represents about 50% of total brands retail dollar sales. Specifically, e-commerce PRS increased 12%, driven by growth of all 3 major forms, bars, shakes and confections. Additionally, retail takeaway at Atkins largest customer increased about 2%, driven by shakes growth of 13%. We remain focused on executing the Atkins revitalization plan and continue to be optimistic about the long-term future for the brand, especially given the renewed cultural conversation and relevance of rate wellness driven in part by the new weight loss drugs. The new Atkins items we launched in the fall are performing well, and importantly, are significantly outperforming the items they replaced. The top-performing items are the 30-gram Atkins strong protein shake and Atkins and Dodge gummies and trouble. We know innovation is critical for the brands, and I'm pleased with the multiyear pipeline we now have in place. The new advertising campaign, Atkins Way has been in market since September and more strongly positioned action as a weight-wellness brand. The top-performing spot specifically references the new GLP-1 drugs and positions Atkins as a sustainable and diet freeway for GLP-1 consumers and by extension, anyone who has lost weight to hold on to their weight loss gains. These ads scored exceptionally well. And while early, we believe they are contributing to the improved results we've seen this quarter. Other elements of the revitalization plan, including new packaging, fire reformulation and enhanced category management capabilities attracting to plan. However, despite the recent progress, we continue to anticipate Atkin's fiscal year 2025 retail takeaway to decline high single digits. Recall, we are proactively eliminating low ROI investments, including trade and marketing programs that don't meet specific ROI hurdles. The effect of these decisions will disproportionately affect retail takeaway over the balance of the fiscal year, particularly in calendar Q1, where POS could be down low double digits. Additionally, during the New Year, New Year season, we will not repeat a large volume driving promotion at Acton's largest customer. These are difficult decisions, but necessary to ensure Atkins is a long-term sustainable business. Also, as mentioned last quarter, in the space-constrained club channel, we lost distribution in October, and as expected, we will see some further losses in this channel in the spring. However, we are having very productive discussions with this customer to repurpose and optimize the space with other Simply Good Foods brands in force. More to come here in the second half of the year. In summary, we continue to believe in the long-term vitality of Atkins, and I'm pleased with the progress we are making to revitalize and position the brand for a new era of white wellness. We believe the actions we are taking should improve the trajectory of the brand as we exit fiscal Q4 and enter fiscal '26, all in support of building a healthy, profitable and sustainable long-term business. However, as we have previously stated, it will take time to get there. Turning to our Retail takeaway of 67% in the combined measured and unmeasured channels was driven by both distribution and velocity increases. In the measured channel universe, 1 is the third largest sports nutrition multipack brand in the U.S. and growing the fastest in dollar sales. Our measured channel growth was a solid 39%. We continue to be excited about the acquisition and the runway for sustained profitable growth. OWYN is the leading plant-based ready-to-drink protein shake in the market. The brand continues to outpace growth of both the plant and dairy-based protein shake segment because of its superior pace profile that also appeals to mainstream consumers. Conversations with retailers are universally and unanimously positive, and we expect both near-term and long-term distribution growth, not just on the existing line, but also new flavors and pack sizes. Looking a little further out, I'm excited by what I'm already seeing from our joint R&D team in terms of where we can further extend the brand. We continue to have confidence we'll double net sales in 3 to full year. The integration is progressing as planned. As a reminder, to align with our fiscal year in 2025, we will achieve the majority of the synergy, about 80% and at the onset or first day of fiscal 2026. This should result in OWYN fiscal 2026 adjusted EBITDA margin in the mid- to high teens. To summarize, Simply Good Foods is uniquely positioned as a $1.4 billion net sales leader in the nutritional snacking category with a diversified portfolio across brands and product forms. We're pleased with our Q1 results and retail takeaway in all 3 brands. Additionally, while early, Q2 is tracking to our expectations. Although as we discussed, the proactive reduction of Atkins low ROI investments and lost club distribution will pressure brand performance. However, as I stated earlier, we believe our category and our brands represent the future of food and beverage given the increased relevance and mainstreaming of consumers seeking high protein low sugar, low carb foods and beverages. We have 3 brands that are aligned with this consumer megatrends and world-class innovation and sales capabilities that we believe position us well to drive sustained growth and increase shareholder value. Now I'll turn the call over to Shaun, who will provide you with some greater financial details.
Shaun Mara: Thank you, Geoff. Good morning, everyone. I will begin with an overview of our net sales. Total Simply Good Foods first quarter net sales of $341.3 million increased 10.6% versus last year, primarily driven by the OWYN acquisition. We're very pleased with OWYN's performance and given the strong POS growth, OWYN's net sales increase was slightly greater than our plan. Legacy Q1 net sales of $309 million was about the same as the year ago period. Atkins was in line with our estimates and Quest was less than planned due to the timing of shipments that occurred subsequent to the end of the first quarter. We estimate the timing of shipments that slipped into the second quarter was about a 3 percentage point miss and nonprice display and promotion captured between gross and net sales was a 1 percentage point headwind to growth. Importantly, demand for our products is strong, as evidenced by the Q1 legacy U.S. retail takeaway increase of about 4%. As we have said in the past, quarterly net sales and POS may not align due to timing of shipments, but we are confident that it should be more in line by the end of Q2 and somewhat similar by year-end. Moving on to other P&L items for the quarter. Gross profit was $130.5 million, an increase of $15.4 million from the year ago period, driven by lower-than-anticipated legacy business ingredient and packaging costs as well as the inclusion of OWYN. This was partially offset by a noncash $1 million inventory purchase accounting step-up adjustment related to the OWYN acquisition. As a result, gross margin was 38.2%, a 90 basis point increase versus last year. The noncash inventory purchase accounting step-up adversely affected gross margin by 30 basis points. Adjusted EBITDA was $70.1 million, an increase of $8.1 million from the year ago period. Selling and marketing expenses increased $1 million to $33 million, primarily due to the inclusion of OWYN. GAAP G&A expenses were $38.1 million, an increase of $11.1 million versus last year. The increase was primarily due to higher legacy employee-related costs and corporate expenses the inclusion of OWYN as well as business combination and integration expenses. Excluding stock-based compensation as well as business combination and integration costs, Q1 G&A increased $6.8 million to $29.5 million. Net interest income and interest expense was $7.1 million, an increase of $2.1 million versus Q1 of fiscal 2024. The increase versus the year ago period is primarily driven by a higher debt balance due to the OWYN acquisition. Our Q1 effective tax rate was about 20% lower than the year ago period due to equity compensation. We continue to anticipate the fiscal year 2025 tax rate to be around 25%. As a result, net income was $38.1 million versus $35.6 million last year. The next slide provides you with a reconciliation of reported and adjusted diluted EPS. First quarter reported EPS was $0.38 per share diluted compared to $0.35 per share diluted in 2024. Adjusted diluted EPS was $0.49 compared to $0.43 in the year ago period. Note that we calculated adjusted diluted EPS as adjusted EBITDA less interest income, interest expense and income taxes. Please refer to today's press release for an explanation and reconciliation of non-GAAP financial measures. Moving to the balance sheet and cash flow. As of November 30, 2024, the company had cash of $121.8 million. Cash flow from operations in Q1 was about $32 million compared to $47.5 million last year. The decline was primarily due to higher net working capital, principally inventory, including on. During the quarter, the company repaid $50 million of its term loan debt. And at the end of the first quarter, the outstanding principal balance was $350 million. Capital expenditures in Q1 were $300,000, despite this, in fiscal year 2025, we continue to expect CapEx to be in a $10 million to $15 million range. In fiscal year 2025, we anticipate net interest expense to be around $23 million to $25 million, including noncash amortization expense related to the deferred financing fees. Now to wrap up with our outlook. Due to solid retail takeaway, visibility in the second quarter orders and strong adjusted EBITDA growth to start the year, we reaffirm our fiscal year 2025 outlook. We expect organic sales growth to be driven primarily by volume and have strong advertising and marketing plans in place as well as innovation, merchandising and promotions that should enable us to achieve our objectives. As discussed last quarter, the company expects input cost inflation in fiscal year 2025 with headwinds increasing beginning in the second quarter. There is no material change to the company's fiscal year 2025 gross margin outlook with productivity and cost savings initiatives expected to partially offset these higher costs. Therefore, in fiscal year 2025 total company reported net sales are expected to increase 8.5% to 10.5%. Embedded in that, we anticipate OWYN fiscal year 2025 net sales to be in the $135 million to $145 million range. and total company adjusted EBITDA is expected to increase 4% to 6%. Note that the 53rd week in fiscal year 2024 is about a 2 percentage point headwind to both net sales and adjusted EBITDA growth in fiscal year 2025. Before we move to Q&A, I want to take a moment and highlight this will be Mark Pogharian's last conference call as Head of Investor Relations at Simply Good Foods as he will be retiring later this spring. I've worked with Mark for many years. I want to thank him for his leadership across a number of functions, in particular, leading us through our leaseback process, multiple M&A transactions and building a strong IR practice here at Simply Good Foods. On behalf of the management team and Board of Directors, we commend Mark on a great career and wish him well. As we move forward, I am proud to announce that Josh Levine joined the company last month with a plan for him to succeed Mark beginning in February. Many of you know Josh from his prior roles on the sell and buy side as well as his time as SubWest brands. Josh is a seasoned and experienced professional, and given the overlap of Mark, we know it will be a seamless transition. We appreciate everybody's interest in our company, and we're now available to take your questions.
Operator: [Operator Instructions] Our first question comes from the line of Tom Palmer with Citi.
Thomas Palmer: Congratulations both Mark and Josh. I hope for you to just fine-tune expectations, I guess, on the gross margin side, I think you previously discussed around 200 basis points of gross margin compression in each of the next 3 quarters. Is this still the outlook? Or might there be a bit more nuanced to consider from quarter-to-quarter at this point?
Geoff Tanner: Yes. I mean let's take a step back on Q1, first of all. So the headline for Q1 is that margin came in better than we thought. That's largely due to more favorable commodities than we had forecasted. The main reason here is the fact that our had slightly higher levels of lower-priced raw materials on hand than we expected. It took a little longer for the higher cost raw material inventory to flow through the P&L. Our guidance for the full year holds around down 200. Q1 favorability helping offset greater-than-expected inflation we're seeing in cocoa and way that will happen towards the end of the year. As it relates to Q2, we expect gross margin decline to be close to above 300 basis points versus last year as the flow-through of the higher commodity costs we thought about in Q1 will hit us in Q2 in addition to the impact of OWYN, which is about 1/3 of the decline. You didn't ask the question, but overall, from a coverage standpoint, we're covered through fiscal Q3, a little longer with the flow-through to the P&L. I want to be cautious here as we consider the inflationary levels of some of the input costs, particularly cocoa and All that said, we're in a much better sense of where we are for margin for the year in the April conference call. At that point in time, while commodities largely locked up for the year. So I answered your question or not.
Thomas Palmer: That answered it and more. Second, you noted the collaborative discussions with a channel customer just related to kind of offsetting the distribution losses for Atkins and repurposing that. Just -- I know it's still early, but any details on kind of what products are really being focused on here and when that placement might take hold? .
Geoff Tanner: It's a little early. We're probably midway through those conversations. They have been very productive, they're big fans of both Quest and OWYN, and both brands have opportunity there. Hopefully by April we'll be able to share more details on where we see opportunity across both of those businesses.
Operator: Our next question comes from the line of Matt Smith with Stifel.
Matthew Smith: And before jumping in, Mark, thanks for the help over the years. I wish you well and what comes next. Geoff, just to start at a high level, the overall category growth remains a stand out in the store with volume growth accelerating on a sequential basis. As you look at the category and the subsegments that drove the sequential improvement, has your expectation for the category growth changed over the remainder of fiscal '25?
Geoff Tanner: Not materially, Matt. We continue to be excited about the level of growth we are seeing, which is high single digit on average. And as you noted, it is materially greater than rest of food and beverage. There -- the reason that nutritional snacking is a standout is that we continue to see a mainstreaming of demand for nutritional food and beverage products. So products that historically perhaps would have been more specialty or targeted towards athletes or gym goers are now mainstreaming as consumers seek higher protein, low sugar, low carb. And this trend is accelerating. It's backed by science, it's amplified on social media. One of the drivers of the growth underlying that is that we continue to bring new products to market that are more mainstream. Products like chips, we we've built a $300 million business. We're very pleased with the early read on our bank shop platform we've got our practice business that we're going to be able to accelerate as we -- we'll get additional supply. And as we bring more mainstream products to the market, what we're seeing is those products are bringing in more and more consumer, and they're highly incremental to the category. So I think that this represents a -- what we're seeing is a long-term trend. And very simply, it's consumers seeking high protein versus that and seeking low sugar and products where we will continue to be the leader in offering them more choices. And I will say that, that trend is also obviously noticed very much by retail. We are working with us very proactively on how we can expand the presence of those products in the store.
Matthew Smith: And Shaun, as a follow-up to the comments on the shipment timing. There were 3 points of timing impact in the first quarter. Can you clarify if that was entirely for the Quest brand? And is the comment that shipments and takeaway are more aligned in 2Q imply that, that headwind reverses in the second quarter so that fiscal year-to-date consumption and shipments are aligned or that shipments and consumption aligned going forward without that reversal?
Shaun Mara: Fair question. I know it's a bit complicated. So let me just start with the quarter. To answer your specific question about Quest, it's probably about 2/3 of the 3 points if you want to call it that. So the driver here is really timing of shipments to a single customer request at the end of the quarter, where we think the focus for that customer was on Black Friday and SepraMoney, less so on the food side. . The balance of the change is basically gross to net adjustments. If I just take a step back and look at consumption overall consumption continues to be solid. We're essentially on plan through the first quarter, up 4% on a combined legacy basis. Quest is up around 10 snacking. And as Geoff said, in particular, chips continuing to grow nicely even bars up again. At the same time, Atkins came in a little better than we were thinking, helped by performance in the 2 key customers, as Geoff mentioned, with innovation and performance in RTDs and encouraging for us. As we look to Q2, we expect shipments and consumption to be much more in line with each other. If you look at it by brand, we continue to expect Quest consumption to be high single digit, low double digits, shipments largely in line with consumption through the first half. Atkins could show high single-digit declines in Q2 and driven by a number of items we've previously talked about. Reducing the low ROI trade events. Additionally, in Q2, we anticipate shipments will trail consumption due to expected club distribution losses. So for the first half will be largely in line with consumption overall. For the full year, we expect assumption in shipments to be largely in line by the end of the year. Does that help you?
Operator: Our next question comes from the line of John Baumgartner with Mizuho Securities.
John Baumgartner: Mark, all the best, many thanks for your assistance over the years. I really appreciate it. Maybe first question, I wanted to come back to the innovation that was launched at the end of the summer, both for Atkins Snacks and the Quest Bake Shop. The run rate contributions are accretive by over about 2 points to sales in Nielsen. And I know it's still early -- but can you comment at all, Geoff, on what you're seeing, how incremental are these products? Do you have a sense for the return of lapsed users to the brand? Is it mostly new first-time consumers? Just any high-level thoughts there would be appreciated.
Geoff Tanner: Yes, let me start with Atkins. We are very pleased with how the new items are performing. Recall, we launched around about 17 new items in the fall that substantially replaced items -- Atkins items on shelf. Those new items are outperforming the items they replaced by about 2:1. And as you look at the sequential improvement we've been seeing in Atkins, that's a key driver of that improvement. And to drill down 1 more level, the top-performing new items, the Atkins Strong 30-gram shake, which is highly incremental to the Atkins brands and actually proven to be relatively incremental to the category. And then you have gummies and truck falls also performing very well. Gummies, in particular, is proving out to be highly incremental. Turning to Quest. As I referenced, I think it was Matt's question. The bakeshop platform is meeting our expectations. It's proven to be 50% incremental to Quest and 30% incremental to the category. And this comes back to the view that we have around how this category is mainstreaming that when we bring more products that are beyond just sizes and shapes, we're reaching new consumers. They're coming to the category. And what we're seeing early is that those consumers then that becomes a gateway into other products across the business. And certainly, that's what we saw on Quest chips. So Quest chips, which is now a $300 million business, has become a gateway into the rest of the portfolio on Quest. So it's an astute question because to judge innovation, you want to look at how well is it performing in total, but importantly, how incremental is it? How incremental is it for the brand and how incremental is it to the category. And on both of those measures, I'm very pleased on both Quest and Atkins.
John Baumgartner: Okay. And then on OWYN, Q1 sales, I think, were better than expected. You reiterated the guide for the full year. In terms of the sales drivers, looking at the Nielsen data, it looks as though the multipacks are becoming a larger share of sales. You've got some new flavors, seeing a strong contribution. And in distribution, also building, it looks like in the drug channel as well. Are there any components over the next 9 to 12 months are tracking more broadly better than expected or areas where you see potential risks at this point, whether it's supply chain, shelf resets? Just your thoughts there in terms of the balance of upside versus downside?
Geoff Tanner: Yes. Look, we continue to be really pleased with how OWYN is performing. Very pleased with the acquisition -- consumption nearly 70% in Q1. And notably, you're seeing growth in both distribution and velocity. You don't normally see those 2 trends in the center actions that we are with OWYN. As you know, the growth is coming from the core and multipack in particular, has been a gap on the business that we have been working against, and we continue to drive additional doors on the business. In recent customer meetings, there are very positive, and we have strong support for expanded distribution gains across 2025. And I would also highlight powders. It's a smaller part of the business right now, but it is growing and is proving to be highly incremental. If you think about on, the average number of SKUs at retail was about 6%, okay? So there is significant headroom for multi-tax LTO, limited time offerings and just expanding the number of doors. So -- and in household penetration, obviously, is low, awareness is low. So that's why we're confident that we'll be able to deliver on our commitment for this business to double sales in the next 3 to 4 years.
Operator: Our next question comes from the line of Steve Powers with Deutsche Bank.
Stephen Robert Powers: Geoff, I wanted to drill into some of your comments on Atkins, if I could. So I 100% appreciate the incremental headwinds that will build January forward on the brand, consistent with what you called out coming into the year. But as you also highlighted, the consumption through December has been ahead of expectations and there were some consumer trends that you can -- as you talked about, lean into a bit. So I'm just trying to just take your temperature a little bit on whether you're feeling at all more optimistic on the trajectory of that brand and kind of maintaining the full year call it down high single digits, more out of prudence? Or if the January forward headwinds are really going to be as material a setback as implied?
Geoff Tanner: Yes. No, Steve, it's a very fair question. Look, I remain confident in the long-term trajectory of Atkins and that's somewhat reinforced by the sequential improvement we have seen -- and as we mentioned earlier, when you click underneath that with better innovation, with outperforming the items that were placed the advertising is performing well. You can see the impact it's having on the business. And I think the proof of that is in 2 of our most important customers that represent over 50% of the business, we're growing. Now with that being said, and particularly as we look to June March, there are some actions that we're taking that will have a short-term disproportionate negative impact on consumption. And they are the right decisions for the business long term, but we did want to call them out because -- for example, we're not repeating a large bonus pack program that was unprofitable, but certainly drove a lot of volume. We are reducing our footprint in sand. Now we hope and expect to offset that through gains from OWYN and Quest, but we're certainly sitting impact of that. And as we've noted before, we are pulling low ROI trade that has been subsidizing the base business. They're all the right decisions for the long term, but they will have a short-term volume effect that we believe would be most pronounced January, February, March. But that notwithstanding, I am very pleased with what I'm seeing in the business. The demand for weight loss, weight wellness is still high, 60% of people looking to lose or maintain weight. As we've talked about in the past, the weight loss drugs have amplified the cultural conversation, get part of that. I think it's a GLP, you can work very well with people on the GLP, whether you're on or coming off the drug I think the long-term future for this business is strong. But what we have to do is we've got some short-term decisions that will have a short-term volume impact. But I think as we look forward to particularly to see this business, expect to see this business come back and be a lot more stable.
Shaun Mara: Just another point just to build off of that, Steve, just we entered the year. I think we knew there were 3 time frame from a calendar standpoint that presents some challenges to the business. One was the fall resets and how the innovation did in the last fall. New Year, New Year performance with less trade and the competitive activity and then fall '25 resets and what the innovation is to help offset that. I think as we get through the first quarter, we're happy that we performed better than planned in Q1. As Geoff said, innovation performed well and allowed us to secure distribution related to the fall resets. We're going to have a much better picture on New Year, New U in the next couple of months and we'll have all 25 resets sort of decided later this year. So as we look past this year, as Geoff said, we expect velocity to stabilize, and we shouldn't have further investments to remove, but we need to see where we are in New Year, New U and the fall resets before we get a fell for '26 and beyond performance overall. It's going to be bumpy, not linear to go through this, but we do think we need to do the right things longer term for the business despite the short-term pain. So I just think that's how we're looking at it internally as we think about it calendarization wise, I don't know that helps her not, but that's just effective.
Stephen Robert Powers: Yes. No, that is very helpful. And actually kind of dovetails into my next question on it. But because I think, Geoff, you called out an expectation that you'd enter fiscal '26, right, with momentum kind of from the get-go is the way I interpreted your commentary. And I guess if there's an incremental headwinds building in the back half of '25, they're going to carry over into 2026 and you're going to be lapping this better performance in the early part of '25. So the call for improved performance to kick off '26 seems to put a lot of pressure on those fall resets that Shaun just mentioned if I'm thinking about it correctly, but maybe I'm not. So I just want to clarify that.
Geoff Tanner: Well, the fall resets are critical for us as they always are. And I'm really pleased with the innovation that we have in the pipeline that we'll do what we did this year, which is replace lower-performing items with better performing items. If you think about fiscal '26, I wouldn't sit here and say we expect the brand to return to growth necessarily. But what we've done in '25 is we've removed unsustainable investment. And that's why we've got the high single-digit decline in model for '25 on Atkins. So as Shaun noted, when we get to '26, we won't be repeating that. To your point, we will be likely lapping same, but that -- and that will be part of the in '26, but this is a very specific as a profitable part of the business. So I don't know if that answers your question. I wouldn't sit here and say model growth on Atkins for '26, but what I do want to emphasize is we're using '25 to remove the unsustainable investment in the brand that crept in over the past few years, and that is why '25 will be a more challenging year for us.
Operator: Our next question comes from the line of Robert Moskow with TD Cowen.
Robert Moskow: And Mark, thanks for all the help over the years. I wanted to know, Geoff, if you could kind of focus in on Quest bars and I think you said yourself, it's a little bit weaker than you thought. Can you talk about the new product launch that you have planned and how it's differentiated from what I perceive as a pretty crowded and low entry but low barriers to entry category. If you look at all these small players, I think that it's very confusing to shop that area. And so my next question would be down the road, does your bars business still need to grow in order to hit your targets for Quest. Like could you foresee the growth of Quest coming from other segments of the portfolio rather than bars? Or does bars really need to grow in order to take your numbers?
Geoff Tanner: It's a good question. I'll answer it directly and then come back. For us to hit our forecast long-range forecast on Quest, we need bars low single digit. The majority of growth Quest going to come from chips, where we still -- we think we're still in the early innings even with $300 million in retail sales that platform still growing 30% and now with double the supply. Bakeshop represents another big platform opportunity for us. We have such an impressive pipeline that I'm excited to bring to market over the coming years that will prove to be very additive and incremental to the brand. Yes, bars is a more mature segment. And so for us to hit our algorithm, in we need low single-digit growth on bars. With that being said, I'm not satisfied with that. And it's why over the last year, we have significantly ramped up our innovation and focus on bars. And this is a category that does respond to immune use and excitement. And the new overload platform that we're bringing out in the spring -- in my opinion, the best facing protein bar I had in my life. It is of inclusions. It's absolutely delicious. And I think it's going to bring needed news and excitement, not just to Quest, but to the category. But coming behind that, we now have multiyears of exciting new buyer innovation that will certainly bring new life into Quest, if not the category. We're turning on more of a focus on advertising on bars. We're certainly not giving up on all we need is low single digit, but I think we can do significantly better than that.
Robert Moskow: That's very helpful. A follow-up to that. When you talk about the pipeline broadly, are there -- is there consistent -- is there a considerable effort to come up with new categories to extend into as well? Or is most of the innovation you have in the pipeline just to build out chips more big shop more, et cetera?
Geoff Tanner: Well, yes and yes. We must innovate on bars, as we talked about. We're in the very early innings on chips. Think about the size of the addressable market of we're a tiny fraction of that market with a very small range of products. So probably not a surprise that we have a very robust salty line of products to come out over the coming years. But with that being said, what Quest does is it flips the macros on unhealthy high carb, high sugar category, like we've just done on bakeshop. So you should assume that we're looking at large addressable categories where we can go in and flip those macros. And for me, that's all ladders back to the mainstreaming of the demand for high protein, low sugar, and Quest had pioneered the product expansion under that trend and we will continue to do so, and we'll continue to look at where we can continue to bring products that flip those macros. So it's an and, it's yes and yes.
Operator: Our next question comes from the line of Brian Holland with D.A. Davidson.
Brian Holland: And Mark, congrats on thanks. And Josh, look forward to working with you. Great to have you back. Maybe just as we step in here to New Year, New U season, obviously, you've gone into great detail talking about some of the forces that play within your own portfolio and the drivers and things to be mindful of. Just wondering what your perspective is with respect to the category. So retail activity, competitive activity, consumer behavior. Last year, obviously, you were kind of set up and then were impacted by a competitor bringing product back on shelf. So just curious if you could compare, contrast the broader setup into New Year, New You in 2025 versus 2024?
Geoff Tanner: Yes. So from what we can see, retailers are continuing to get behind New Year New You in a bigger way year-on-year-on-year, again, it comes back to -- they're seeing the same trends that we're seeing, which is consumers seeking out these products. So at a total category level across the customer base, we're seeing increased support for the category, whether that merchandise in displays, promotions, et cetera. Drilling down. We're very pleased with our own plans. As we've noted, Atkins is a couple of areas where we are pulling back. But Quest extremely pleased with the level of support we're getting. To drill down 1 level lower, ships, in particular, is a part of the business where we expect to significantly increase support over the New Year New U period. Now with that being said, it's too early to see the level of competitive activity. As you noted last year, major competitor came back and were negatively impacted by that. I think we're more eyes weighed open to the competitive landscape this year, but it will play out. But retailers -- look, they're looking across the store. They're seeing the same growth we are. They're moving their assets to support that growth. And I think at a total company level, we will perform very well.
Brian Holland: Appreciate that. And then forgive me if this was addressed clearly, and I just missed it, but with respect to input costs and directionally where they're moving, just views on if or when pricing action would need to be taken in response.
Shaun Mara: What we did do pricing actions as it relates to RTDs. We announced a mid-single-digit price increase in the golden effect of in the spring. So we did do that. We continue to evaluate commodities, and we really focus more on productivity at this point in time. And with productivity, we should see some of that in this year and a full impact of that really in '26. So we'll continue to evaluate pricing, but we have not announced anything beyond the mid-single-digit increase for RTDs.
Operator: Our next question comes from the line of Jim Salera with Stephens Inc.
James Salera: Echo all the congrats for Mark, and I look forward to working with you in the future, Josh. I wanted to drill a little bit on the RTD shake growth in Atkins. I think general Atkins is better than expected, but that was a kind of a particular bright spot. In those RTD shake consumers, are you seeing Atkins consumers that maybe have kind of gotten away from the brand reengaging? Or do you find that those are new consumers coming to the Atkins brand through that very popular RTD shake format?
Geoff Tanner: It's both. We're seeing new users come into the brand more than we had forecast. We're also seeing buy rate increase. I think there's a couple of drivers of that. One, it's early, but we think the new advertising is performing exceptionally well. And then the other driver of that is we launched a 30-gram shake or Atkins Strong with fiber, which was positions as a great companion for those on a GLP-1, but certainly not limited to that. And that has been an important driver of the growth we're seeing in shakes. And so if you look at the overall performance of shakes, that addition of the 30 grams, the thing we have right now has proven to be highly incremental for the Atkins shake business.
James Salera: And I know it's still early days, but is there an opportunity if you're bringing new consumers to the Atkins brand through the shake platform, to convert them to some of the other innovations like the gummies or the that you find that they -- if your state consumer, you're kind of siloed in that consumption format.
Geoff Tanner: No, it's a great point. One of the strengths of Atkins is the breadth of the portfolio, and we do see that when they come in on a shake, they'll go over to ready-to-eat or vice versa, but there's a lot of switching within the portfolio. And it's too early to know if that's happening on Strong, for example. But certainly, that's consistent with how the brand has grown in the past, which is they'll come into the brand, they understand the brand promise they see the breadth of products and then they'll shop across those products. So that's what I would expect, but it's a little early to tell right now whether that's happening on Strong, for example.
Operator: Our next question comes from the line of Jon Andersen with William Blair.
Jon Andersen: And Mark shout-out to you on retirement, and thanks for your help over the years. One question on Atkins and 1 on OWYN. On Atkins, you've talked a lot about optimizing spend and eliminating low ROI spend. Can you give us a little bit more context on what this means from a how much the historical spend has been, what it might look like post optimization and the margin implications for the Atkins brand? And then on OWYN, are you seeing or expecting any changes from a competitive standpoint in the category or the segment? And are those kind of baked in to your kind of expectations through the balance of the year and into fiscal '26?
Shaun Mara: I guess on the Atkins one, we don't really want to get into a lot of profitability by brand for competitive reasons. We don't really look at that. I think what we're trying to do is use the spending that we have overall in the most efficient and effective way. We do see a lot of the spend that we are reducing for Atkins being reinvested in Quest and a little bit more in OWYN. So I think overall, we're trying to get to a business that we think is a sustainable business longer term. And that's we think we can get to for Atkins by eliminating some of the investments and the returns on those and aligning those more with expectations. So I don't really want to get more into the detail on that, if that's okay.
Geoff Tanner: The only example I'll give you is trade, where over the years, and I think driven perhaps by not having sufficiently robust innovation pipeline, traded creep into the business. And when we review -- we review every single trade event, what we found is that many of those events are very unprofitable, but perhaps even more importantly, we're subsidizing base business and that looking at the business from that line, it's the right decision to remove trade, but is not -- that is unprofitable, and it's generally to subsidize in the base. So just to give you 1 example. And on marketing, our marketing spend had gotten out of line with even our own guidelines on marketing as a percentage of sales. What I would note is that -- the majority of the cuts in marketing were to nonworking. I would also note that through a new media partnership we have, we're able to offset working impact, but there still is an impact as we bring that spend back into line. I think your question -- I just want to clarify, was it on competitive response to -- on -- was that the question?
Jon Andersen: Yes. Yes. OWYN and any changes to the competitive landscape and plant-based segment? .
Geoff Tanner: No, we haven't seen any. OWYN is the clear leader in plant base. And I think when we announced the deal, the data point that really convinced me to make this acquisition was that OWYN just it sells on taste. It's the plant-based offering that is now close enough for the dairy-based alternative on team. And that's why it is a clear leader in plant-based and it's not easy to get there, but that figured it out, actually, we're working with them on getting an even improved taste profile. But that taste profile is now close enough to dairy, which is why we're seeing the majority of new consumers come into that business from dairy. So we're not hearing, we're not seeing plant-based competitors of not to own it has emerged as the clear plant-based leader. What I would say is, as we look at the future of the business, we want it in the rotation part of the mainstream consumers. That's where we're going with this business.
Operator: Our final question today comes from the line of Alexia Howard with Bernstein.
Alexia Howard: So can I start with the GLP-1 question. You mentioned your plans to tap into that GLP-1 trend in your prepared remarks. Can you give us a little bit more color on what that -- what it is that you're doing and by when? Is it messaging and marketing? Is it on pack labels? Is it dedicated new products? Just a little bit more color would be helpful. And then I have a follow-up. .
Geoff Tanner: Yes. So Lexi, I mean, it's obviously still early innings with the GLP-1 drugs, but we do see this as a tailwind to our category. And the tailwind is both -- our products are great. Companion, when you're on the drugs, what we found even in our own research is that consumers when they're on the drugs are looking for protein to maintain muscle mass and fiber is very important because many of them have got health issues. And then the equal opportunity, if not greater, is as an off-ramp, which is they've achieved their weight loss goals. They're looking to how they can sustainably hold on to the emotional and physical benefits of that weight loss, which is where Atkins in particular, has an important role to play. So then your question is what are we doing? How are we tapping into that. On Atkins, new advertising specifically references GLP-1 users and specifically, the position Atkins as a sustainable offering to hold on to those gains. That ads was the best -- best scoring ad we've ever had on Atkins. And while it's early, we believe that is part of the reason we're seeing sequential improvement in the consumption numbers right now. And as we -- as I mentioned just previously, we also launched a product Atkins Strong that is positioned as a perfect companion high protein by fiber, and that product continues to do very well. And then we obviously have -- supporting all of that, we do have targeted advertising where we're positioning our products in digital to -- as a GLP-1 companion. So our primary focus on tapping into GLP-1 is Atkins, but what I would say is that Quest will also benefit just from that demand that consumers have for high protein and healthy products. Lastly, we are working with customers at a category level to reinforce the importance of the category and its how important it is to support consumers, whether they're on the drug, GLP-1 consumers and after retailers get it. It's a benefit to be located near the pharmacy section. We're working on some tie-ins with some pharmacies with some retailers. So we see that as a significant tailwind, and we're pleased with the early response we're seeing to the -- some of the tactics and initiatives we have in place.
Alexia Howard: Perfect. Just to finish up here. First of all, Mark, thank you so much for your help over the years. And Josh, welcome. Do you have any data specifically on repeat rate for OWYN and how those are trending over time. I'll leave it there. .
Geoff Tanner: Yes. So on OWYN repeats have actually improved significantly over the last 3 years. Again, this was another data point we looked at closely during diligence. And what's really interesting is you can tie the increase in repeat rates, which I think now are around 40-ish percent to the product improvements they've made over time. And that was another data point that gave us confidence that this was the way acquisition of -- if you have a repeat rate with a foreign front of it, Alexia, you're in pretty good shape. And OWYN is there right now. And I think actually as we combine our 2 R&D organizations, we'll get even, but we'll get even better.
Operator: That concludes our question-and-answer session. I'll turn the floor back to management for any final comments. .
Shaun Mara: Great. Thank you so much for joining us for today's call, Josh and I will be around to answer any follow-up questions you may call, and we'll speak to you again during our fiscal second quarter conference call in early April. Thank you.
Operator: Thank you. This concludes today's conference call. You may disconnect your lines at this time. Thank you for your participation.